Operator: Good afternoon. Thank you for joining the Tetragon 2025 Half Yearly Investor Call. [Operator Instructions] The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the company's -- home page of the company's website at www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. As a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation. Paddy?
Patrick Giles Gauntlet Dear: As one of the principals and founders of the Investment Manager of Tetragon Financial Group Limited, I'd like to welcome you all to our investor call, which will focus on the company's 2025 first half results. Paul Gannon, our CFO and COO, will review the company's financial performance for the period. Steve Prince and I will talk you through some of the detail of the portfolio and that performance, and Steve will spend some time discussing the outlook. As usual, we'll conclude with questions, both taken electronically via our web-based system at the end of the presentation as well as those received since the last update. The PDF of the slides are now available to download on our website and if you're on the webcast, directly from the webcast portal. Before I go into the presentation, some reminders. First, Tetragon shares are subject to restrictions on ownership by U.S. persons and are not intended for European retail investors, and these are described in some detail on our website. Tetragon anticipates that its typical investors will be institutional and professional investors who wish to invest for the long term and have experience in investing in financial markets and collective investment undertakings, who are capable themselves of evaluating the merits and risks of Tetragon shares and who have sufficient resources, both to invest in potentially illiquid securities and to be able to bear any losses that may result from the investment, which may equal the whole of the amount invested. I'd like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs or current expectations concerning performance and the financial condition on the products and markets in which Tetragon invests. And our performance may change materially as a result of various possible events or factors. So with that introduction, let me pass you over to Paul.
Paul Ronald Gannon: Thanks, Paddy. Tetragon continues to focus on 3 key metrics when assessing how value is being created for and delivered to Tetragon shareholders: firstly, how value is being created via NAV per share total return; secondly, how investment returns are contributing to value creation measured as a return on equity or ROE; and finally, how value is being returned to shareholders through distributions mainly in the form of dividends. Fully diluted NAV per share was $38.74 as at 30th of June '25. The NAV per share total return was 10% for the first half of 2025. And since its IPO in 2007, Tetragon has achieved an annualized NAV per share total return of 11%. For monitoring investment returns, we use an ROE calculation, which was a positive 12.2% for the first half of '25, net of all fees and expenses. For comparison purposes, our target for a 6-month period would be 5% to 7.5%, so significantly above. The average annual ROE achieved since IPO is now 11.8%, which is within the target range of 10% to 15%. Looking at the final key metric, Tetragon declared a dividend of $0.11 for the second quarter, which represents a dividend of $0.22 year-to-date. And based on the quarter-end share price of $16.15, the last 4 quarters' dividend represents a yield of approximately 2.7%. This next slide shows a NAV bridge breaking down into its component parts, the change in Tetragon's fully diluted NAV per share, which started the period at $35.43 and ended at $38.74 per share. Investment income increased NAV per share by $5.95 per share. Operating expenses, management and incentive fees reduced NAV per share by $1.52 with a further $0.14 per share reduction due to interest expense incurred on the revolving credit facility. On the capital side, gross dividends reduced NAV per share by $0.22. There was also a net dilution of $0.76 per share, which is labeled as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends plus the additional recognition of equity-based compensation shares. I will now hand back over to Paddy.
Patrick Giles Gauntlet Dear: Thanks, Paul. As on previous calls, before we delve into the details of our performance for the period, I'd like to put the company's performance in the context of the long term. Tetragon began trading in 2005 and became a public company in April 2007, so the fund now has 20 years of trading history. And what this chart shows is the NAV per share total return, which is the thick green line at the top; the share price total return, which is the dash green line, which is the next one. And all of this is since IPO. The chart also includes equity indices, the MSCI ACWI and the FTSE All-Share. And last, it includes the hurdle rate that Tetragon has of SOFR plus 2.75%. As you can see in the graph, over the time that Tetragon has been trading as a publicly listed company, our NAV per share total return is 572%. We do believe that our somewhat idiosyncratic structure that is of a listed fund owning alternative assets and a diversified alternative asset management platform enables us to create an alpha-driven ecosystem of ideas, expertise, insights and connections that helps us to generate investment returns. So moving to the next slide but continuing the theme of looking at the long term. Here are some more performance metrics. Our ROE or investment return for the first half, as Paul has said, is 12.2%, and that's for the half year and compares with our full year target of 10% to 15% per annum over the cycles. And we've averaged an annual return since IPO of 11.8%. Thus, as Paul mentioned, the first half performance is an outlier but in a very positive sense. The table also shows on the top right-hand side that just over 38% of the public shares are owned by principals of the Investment Manager and employees of TFG Asset Management. We believe that this is a very important metric as it demonstrates a strong belief in what we do as well as a strong alignment of interest between the manager, TFG Asset Management employees and Tetragon shareholders. This next slide shows a breakdown of the $3.5 billion of net asset value by the various different asset classes. And what these colored dish do is show the percentage breakdown of the asset classes and strategies as at year-end 2024 on the left, and you can compare them with the end of the first half of 2025 on the right. I would note 3 changes. First, Tetragon's investment in private equity stakes in asset management companies, collectively known as TFG Asset Management, has moved up from 45% of NAV to 48%, mainly driven by an increased valuation in Equitix. Secondly, private equity and venture capital were at 23% versus 22% driven by gains in Ripple and Hawke's Point. Other asset classes have moved down and mainly pro rata, so investments in event-driven equities and convertibles, which we own through hedge funds, decreased to 15% from 17%, and equally, bank loans have continued to decrease, down from 5% to 3%. And perhaps it's worth a slight pause at that last point. Many people have thought of Tetragon in the past as a CLO business. But just to reiterate, bank loans in total as an asset class are roughly 3% of Tetragon's NAV, and that's down from probably about 95% at IPO 18 years ago. So moving to the next slide. Let's move to discuss the performance in a little more detail. The NAV bridge that Paul showed was a high-level overview of the NAV per share. And this table shows the breakdown of the composition of Tetragon's NAV at the end of 2024 versus the NAV at the end of the first half 2025, and it does it by asset classes and therefore, the factors contributing to the change in NAV. Thus, this table shows investment performance plus the capital flows and so tying back to the change in NAV. As you can see from the bottom row of the table, the aggregate investment performance labeled gains and losses, so about fourth column, was a gross profit for the period of $540 million. And there were 3 large drivers of this return, all of which were a continuation of the performance that we saw in 2024. The first is $409 million of profit came from our ownership in Equitix, our infrastructure asset manager. Second, $118 million came from the direct private equity investments, mainly from our investment in Ripple Labs, a private blockchain and crypto business that supports the XRP ledger; and thirdly, $63 million from an Australian gold mining company, which is an investment in a Hawke's Point fund. As I said at year-end but I'm happy to reiterate, it's hard to imagine 3 less intrinsically correlated investments. These 3 investments exemplify in a way our diversified approach and our focus on identifying attractive alternative investment strategies that may be more likely to have low correlation both to markets and ideally to each other. Now to take you through the asset classes in a little more detail. You can see that the TFG Asset Management, our private equity holdings in asset management companies, the total gains of $365 million. These asset management businesses continue to grow and perform well. This is the best-performing segment, and obviously, that includes Equitix. Secondly, the hedge fund strategies, event-driven equities, convertibles and other hedge funds gained $6.5 million. Bank loans, and these are held through CLOs, had a loss for the first half of $24 million. Real estate had a loss of $8.5 million. Private equity and venture capital had a gain of $189 million, and this includes the Hawke's Point funds and Ripple as a direct private equity investment. Legal assets had a gain of $3 million. And lastly, other equities and credit had a gain of $8 million. Now what we'd like to do is take more detail on each category, and let's start with TFG Asset Management, our private equity investments in asset management companies. And to do that, I'd like to pass over to Steve.
Stephen Lionel Prince: Thanks, Paddy. Before I review the performance of TFG Asset Management's constituent businesses, I wanted to take a moment to remind listeners of TFG Asset Management's strategy and key value proposition. Our investment objective continues to be to generate distributable income and capital appreciation. We do this by seeking to generate stable returns across economic cycles and market conditions. We continue to look to add new strategies and help individuals and teams to create successful asset management businesses by leveraging TFG Asset Management's operating infrastructure and shared strategic direction with Tetragon, who can support asset management businesses through co-investment and working capital. At the same time, we continue to look for creative ways to help our partners grow their existing businesses, which may involve selling partial stakes or whole businesses if we and may believe it may unlock future growth and value. I'll speak more about this in a moment when we discuss Equitix. Now I'm going to move on to the performance of our asset managers during the first half of 2025. Our private equity investments in asset management companies, through TFG Asset Management, recorded an investment gain of $365 million during the period, driven by investments in Equitix and integrated core infrastructure asset management and primary project platform. In June, Tetragon announced that Hunter Point Capital, or HPC, has agreed to acquire a minority stake in Equitix. HPC is acquiring a 16.1% stake in the business at an implied enterprise value of GBP 1.3 billion before accounting for net debt. HPC's stake is being acquired from 2 existing shareholders, approximately 14.6% from TFG Asset Management and 1.5% from Equitix management. The deal is subject to customary closing conditions, including required regulatory approvals. After the deal, Tetragon will continue to hold 66.4% of Equitix. Tetragon's investment made a gain of $409 million during the first half of the year, and that was driven by a combination of: a, a higher valuation as the valuation approaches were calibrated towards the HPC transaction; b, foreign exchange gains as the pound gained 9.6% against the dollar, and as a reminder, 50% of the value of our holding in Equitix is hedged; and c, dividend income of $9.4 million received from Equitix. The transaction that Tetragon consummated with Hunter Point allows us to realize some of the value created in the business but also to remain invested with a trusted partner in Equitix in a sector where we continue to see significant runway for innovation and growth. And lastly, the transaction allows us to partner with a firm, Hunter Point, whom we think will help us enhance the value of Equitix. Moving on to other investments. BGO, our real estate-focused investing firm, had an investment gain of $28.3 million during the first half. Distributions to Tetragon during the period totaled $9.2 million, reflecting a combination of fixed quarterly contractual payments and variable payments. The valuation of BGO is on a discounted cash flow basis with an assumed exit upon the exercise of our put/call option in 2026, 2027. The exercise price will be determined based on the average EBITDA of BGO during the 2 years prior to exercising the option. The main driver of the investment gain was an increase in the value of the put/call option due to a higher EBITDA achieved than previously forecast as well as an unwinding of the discount at which we hold the investment. LCM, our CLO manager, had AUM of $7.7 billion as of the end of the first half of the year, which was 12% lower than the end of 2024, which the AUM was $8.8 billion. That was due to an amortization of the existing deals. Tetragon's investment in LCM made a loss of $35.3 million as the valuation reflected the impact of the reduction in the AUM. As a reminder, Tetragon's other asset management businesses include Westbourne River Partners, which is an alternative asset manager focused on event-driven investing in Europe, European small and mid-cap equities; Acasta Partners, an alternative asset manager employing a multidisciplinary approach; Tetragon Credit Partners, a structured credit investing business focused primarily on primary CLO control equity. And I should point out, during the first quarter of 2025, Tetragon Credit Partners did have its first close in Tetragon Credit Income Fund V. Hawke's Point, an asset management business that provides strategic capital to companies in the resource sector; Banyan Square Partners, a private equity firm focused on non-control equity investment opportunities and opportunistic investments in public equity and credit investments; and Contingency Capital, a global asset management business focused on credit-oriented legal assets. The collective loss on Tetragon's investments in these managers as well as the platform was $37 million during the first half of the year. That was owing to a combination of a reduction in the fair value of some of these managers as well as working capital contributed to support some of the relatively nascent businesses. Now going to turn the call back over to Paddy, who's going to review our hedge fund investments.
Patrick Giles Gauntlet Dear: Thanks, Steve. So Tetragon invests in event-driven equities, convertible bonds, credit and other strategies through hedge funds. The majority of these investments and through funds managed by Westbourne River Partners and Acasta Partners, both of those are part of TFG Asset Management, i.e., where the management company is owned partially or fully by Tetragon. Our investment in the Westbourne River European event-driven strategies recorded a gain of $5 million in the first half. And for context, the net performance for the funds was positive 6.5% for the long bias share class and positive 0.8% for the low net share class. Investments in Acasta Partner funds generated a gain of $2.8 million. And again, for context, the net performance for the Acasta Global Fund was plus 2.3% for its flagship share class. Investments in other hedge funds, including the global equity fund, had a loss of $1.3 million during the period and remains a small portion of the portfolio. Moving on to bank loans. Tetragon predominantly invests in bank loans through CLOs, taking majority positions in the equity tranches. Tetragon's investments are split, as shown here, between those directly owned U.S. CLOs, which are generally managed by LCM and the funds managed by Tetragon Credit Partners. As I said earlier, it's worth noting that our exposure has dropped to under 3% of the total NAV. In aggregate, our bank loan investments recorded a loss of $24 million for the first half in 2025, and that is after receiving cash during the period of approximately $30 million. New investments were approximately $1 million. CLO performance during the period was negatively impacted by realized and unrealized losses on certain older vintage loan exposures. Next is real estate. Tetragon holds most of its investments in real estate through BGO-managed funds and co-investment vehicles. The majority of these are private equity style concentrating on opportunistic investments, targeting middle-market opportunities in the U.S., Europe and Asia, with particular focus on growth sectors such as logistics, data centers and cold storage. These funds had a net loss of $8.5 million during the period. Losses continue to stem from the U.S.-focused funds, mainly due to exposure to commercial, residential and hotels, and the losses were slightly offset by gains in Europe. Cash received from fund distributions during the period was $1 million and new investments made were $7 million. Lastly, the other real estate is farmland investment in Paraguay. This is managed by a specialist third-party manager in South American farmland, and the investment was flat after a third-party revaluation. And now I'll hand you back to Steve.
Stephen Lionel Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments was a top driver of performance during the first half. We generated gains of $189 million. Investments in this category is split in the following sub categories. The top driver was in the direct private equity bucket, which produced gains of $118 million, related to Tetragon's investment in the Series A and B preferred stock of Ripple Labs, a top U.S. enterprise blockchain company underpinned by the XRP token and XRPL cryptocurrency ledger. Ripple announced a tender offer in June 2025 at a purchase price of $175 a share in which Tetragon participated. The tender closed in July, and Tetragon sold approximately 3% of its holdings through this process. The gain in Ripple was driven in part by the tender as well as an increase in the price of Ripple shares observed in the private market. The valuation of these shares has continued to increase from a series of positive developments, which include the nearing resolution of the SEC's lawsuit with Ripple, significant platform developments including the launch of XRPL's EVM Sidechain, enabling smart contract capabilities; and the pending acquisition of Hidden Road, a global multi-asset prime broker. That's expected to close in the third quarter. Additional positive developments include Ripple applying for a national bank charter, which would provide deeper connectivity into the traditional financial system, the announcement, as I said, of the 2025 -- June 2025 tender offer at $175 a share; improved regulatory clarity in the U.S. as Congress passed the GENIUS Act governing stablecoin issuance, and the progress on the Clarity Act, which would oversee cryptocurrency regulations and the market structure; and lastly, an increase in the XRP token price from $2.10 at year-end to over $3 in mid-July, which established XRP as the third largest cryptocurrency by market capitalization. Combining its balance sheet and [ escrow ] holdings, Ripple Labs is the largest owner of XRP. I'm going to cover a few of the other private investments. The second one I want to cover is investments managed by Hawke's Point, TFG Asset Management's resource finance business, which generated a realized and unrealized gains of $63 million, which was from the largest strategic investment in an Australian gold mining exploration and development company. Tetragon invested an additional $8 million into Hawke's Point funds and received distributions of $53.3 million during the period. Recently, the company made a strategic investment in an Australian copper producer. Third, investments in Banyan Square's portfolio companies generated a gain during the period of $6 million. Banyan Square has 16 positions across its 2 funds, which include investments across application software, infrastructure software and cybersecurity. The final category is our PE investments in externally managed private equity funds and co-investment vehicles in Europe and North America. These investments generated gains of $3 million in the first half, and those are spread across 40 different positions. Moving on to the next slide, legal assets. Tetragon makes investments in legal assets through vehicles managed by contingency capital. Tetragon has committed capital of $70 million to contingency, $46 million of which has been called to date, including $5 million during 2025. A gain of $3 million was generated from these investments. The performance of the contingency Capital Fund I and Fund II portfolios are above underwritten projections and performance targets, and the performance of these portfolios are not correlated to the public equity and debt markets. On to the next slide, other equities and credit, and I'm going to cover our cash. Tetragon makes investments directly on its balance sheet, reflecting single strategy ideas. These ideas are either co-investments alongside our TFG Asset Management managers or at times idiosyncratic. Each of these investments tend to be opportunistic and with a catalyst. Often, as Paddy mentioned earlier in the presentation, the sourcing of these investments has been facilitated by the managers on the TFG Asset Management platform as well as third-party managers with whom Tetragon invests. The flexibility to invest in these opportunities is a benefit of Tetragon's structure. This segment generated a gain of $8.2 million during the first half. Finally, Tetragon's cash at bank balance was $3 million as of the end of the first half. That comprised the -- as I said, the cash at bank, $3 million, $350 million drawn on our credit facility, $90.3 million -- this is our net cash I'm covering, $90.3 million due to brokers, net receivables and payables of $108.7 million, so a net cash -- total net cash of negative $546 million. Tetragon has access to a credit facility of $400 million with a maturity date in 2032. As I mentioned, as of the end of the first half, $350 million of that facility was drawn and the liability, as I just covered, is in the net cash balance calculation. Net receivables and payables include the accrued incentive fees for the second quarter, does not -- but does not account for the Equitix transaction. Tetragon actively manages its cash levels to cover future commitments and to enable it to capitalize on opportunistic investments and new business opportunities. During the period, Tetragon used cash as follows: $208 million to make investments, $12 million to pay dividends. $167 million of cash was received as distributions and proceeds from the sale of investments. Future cash commitments are $109 million, comprising investment commitments across BGO funds, private equity funds, Tetragon Credit Partner funds, Contingency Capital funds and Working Capital loans to certain TFG Asset Management managers. Finally, I want to cover our future investment expectations. So first of all, we'll continue to fund commitments to TFG Asset Management. We expect our hedge fund exposure to remain stable. We expect to continue to invest in CLOs via Tetragon Credit Partner vehicles, but we also expect to continue receiving cash back from some of their initial funds. We expect to -- our real estate investments should remain relatively stable because we do have existing investments that are distributing cash. We expect our private equity allocations to keep growing, and there are a few additional LP commitments we've yet to fund, and we expect our Banyan Square allocation to continue to grow. In legal assets, as I mentioned earlier, Tetragon will continue funding its commitments to Contingency Capital vehicles. In other equities, we expect to continue to invest in these opportunities and for the segment to grow. And lastly, while we're hopeful there will be additional allocations to make to new asset classes, there's nothing to report at this time. Let me hand it back to Paddy for Q&A.
Patrick Giles Gauntlet Dear: Thanks, Steve. As you might imagine, everyone, we've had a fair amount of questions, which is great. Thank you very much. What I'm going to try and do is group them into various different themes. And the first theme we're going to tackle here is on Ripple Labs, our investment in Ripple Labs. Going to read out a few questions and then we'll collectively take the answer. First question says thank you for the detail on the call. Please, can you discuss your historical purchases, sales and participation in recent tenders? The second says can you please talk about how you value the Ripple Labs position. Third is how many shares of Ripple Labs does TFG currently own. What price are you marking the shares based on the $350 million holding in your latest report? And a further question saying other ways to better illustrate the Ripple investment, one of the few public ways to own Ripple Labs. So I think quite a sort of a variety of questions there, but maybe start with the basics, and that is what do we own and how do we value it. And for that, I'll pass over to Paul.
Paul Ronald Gannon: Thank you, Paddy. So at 1st of June, Tetragon owned just over 3.6 million preferred shares in Ripple with an overall valuation of approximately $350 million. The investment in Ripple is being valued using the broker prices observed in private markets. A part of the holding, approximately 3%, was subject to the tender offer that was announced before the end of June and was valued at the tender offer price of $175 per share, with the remaining 97% valued at a share price of just under $94.
Patrick Giles Gauntlet Dear: Thanks, Paul. So tackling -- sort of going back a bit, which is how do we get involved discussing historical purchase and sales, et cetera. I don't intend to take people through every single transaction, but I think it is useful to give -- to answer the question and give a flavor. We first invested in Ripple Labs in 2018, so about 7 years ago, and we were buyers of the A and B shares. We ended up rolling those and buying some C shares in 2019. But to fast forward to today, we have $263 million invested. We have life-to-date gains of $525 million, so that is the sort of total, if you will, of $885 million, of which we've received $438 million in cash, and we still have $350 million still invested at the mark that Paul has just discussed. There is a further $21 million we'll receive -- expect to receive in July, and that is from the current tender. So in summary, we have been buying and selling shares over the years. We do tend to invest -- sorry, to tender into the company tenders that have been done over the last few years and see that as a good source of cash, particularly if they are substantially above the share price. And as Paul mentioned, we do see quite an active share price. Albeit a private company, it is quite actively traded. The last question here is more about other better ways that illustrate the Ripple investment. And I think perhaps what this is driving out is a lot of companies that own crypto have seen an explosion -- public companies that own crypto have seen an explosion in their -- on the upside in their share price. I think a lot of people have been following MicroStrategy or now called Strategy, and a lot of people are following the sort of Bitcoin balance sheet transaction. That's not something that we have or we intend to do. I mean, we've looked at it, but it's not something we intend to do. So I think we want to be clear to our shareholders and anyone else who's interested about exactly what we own and why. And perhaps if we're missing something in terms of educating people as to what we own and why, we're open to ideas. But I think it's clarity that we're looking to achieve. The second theme of questions, not surprisingly again, is about Equitix. And maybe if I read the questions and then tell you how I'm going to try and tackle them. First is why did you not sell all of Equitix. Secondly, do you plan to sell more? What is the timing of the Equitix close? And what is the potential use of proceeds? Is there any sort of put/call arrangement with the buyer? So I think there are really sort of -- have been a few other questions. But I think there's sort of 2. One is the sort of exact facts of the transaction and the second is when are we going to get the cash and what we plan to do with it. So maybe if I start by answering the one specific to the Equitix transaction rather than the cash. So I would say firstly that our objective for Equitix, and I would state this for all our positions actually, so that's no different, is to optimize the value to Tetragon over the long term. And I'd say optimize rather than maximize because obviously it does different over time. We happen to believe that's an excellent business. It's got an excellent management team. We really like the long-term prospects of the business. So it's always a trade-off between valuations now versus the future expected growth. Then, obviously, there's the risk element it being such a large portion of the portfolio. So where we think we've got to is that by selling this stake to Hunter Point Capital, we think it helps us, a, monetize some of the growth that we've seen over the last 10 years and derisk slightly the position in terms of NAV size but also gets us, we believe, a trusted and excellent partner who will help us grow the business over the years to come and therefore, accelerate the growth in the business and hopefully the growth in the NAV. We don't have any specific plans to sell more of Equitix currently, but we will continue to look to optimize the long-term value of the business. And that could and would entertain further sales over the coming years. In terms of the timing for the cash, maybe again, I'll hand over to Paul for that one.
Paul Ronald Gannon: Sure. So I think if I just sort of step back and just talk a little bit about the sort of overall transaction as well, and I'll incorporate the timing of the cash into that, so as at the end of June, the minority stake, which is subject to sale, which is just roughly 14.6%, was valued at $250 million using the agreed transaction price discounted back to the present value. That whole consideration is in the form of an upfront cash payment. And we're currently expecting that to close, although this isn't an exact science, but my best guess would be around the end of Q3, start of Q4. Just continuing on the theme of the valuation. The remaining stake, 66.4%, is valued at $1.1 billion, and that's using the same methodology that we used previously, which is a combination of DCF approach and market multiple, with the 70-30 weighting towards the DCF? Handing back over to you, Paddy.
Patrick Giles Gauntlet Dear: Thanks, Paul. So now let's look at the cash. So a few questions, just the focus. First is could you please indicate what Tetragon plans to do with the cash proceeds and the most likely timing thereof. Secondly, given the massive undervaluation, about 50% of Tetragon stock, is it a good time now to ask you why you are not buying back your own shares by tender offer or increasing the dividend? And the third question here, does management expect to deploy pending realized cash to reduce the current high level of leverage or is that expected to be addressed only in '26, '27 when the proceeds of the core book with BGO investments? So I think let's just sort of -- firstly, on the timing of cash, I mean, very broadly, we expect that to be in the second half, as Paul has mentioned, approximately $250 million from the Equitix sale. Our current cash position, as Steve just mentioned, at the end of June was negative $546 million. That does include all liabilities. It does not include the $250 million expected from HPC. And so if you take the minus $546 million, add in the new cash of $300 million -- sorry, the new cash of $250 million, leave -- would leave us with a balance of $300 million debt. So we would still be in a net borrowing position. Now I know that's sort of slightly less than 10% of the NAV of the company, but I don't feel that would be a wash with cash. So the plan would be to pay down debt and then see what our options are. Now I think for those of you who have been shareholders for a while, we talk about a balance between investments, buybacks and dividends. And I would just point out that in the current environment, if we're looking at buybacks and dividends, there would be a preference for buybacks. And I think that is likely to be the case if we continue to trade at a large discount. And also, I would just reiterate something I've said in the past that the nature of the portfolio has moved from being, in the early days, a very cash flowing portfolio to what is now a noncash flowing portfolio. And therefore, the liquidity tends to be lumpy and therefore, we're unlikely to be supporting aggressive growth in dividends that obviously rely on strong levels of cash flow. I would just add a little bit more. There's obviously a question there about share buybacks. Not that we have a lot of cash at the moment or indeed would expect to have lot of cash this year, but I think it's always worth talking about buybacks. As a lot of people know, we think they're a good use of cash, particularly when the discount is wide. They can, obviously, therefore, be very accretive to NAV per share. But I think it's always worth tempering that with we don't actually believe they solve the issue of a persistent discount. And there's plenty of evidence for that statement not just with ourselves but also many other closed-end funds. And for historical context, I think it's in the semiannual, we've spent just under $900 million on buybacks life to date on top of another approximately $900 million dividend. And so it is useful but certainly not a silver bullet in terms of solving discount. And whilst we're talking about the discount, there's a question here, as indeed there should always be, on the discount, and it reads as follows. At this moment, there's a substantial valuation gap between the reported NAV per share and the current share price. And I'm wondering which actions management is considering to take to close this gap. So the first answer I will give, if you ask anyone in the industry, there is no silver bullet. There's no simple answer to closing the discount. And if there were, then hopefully, we would have found it because for approximately 17 years, the company has traded at give or take a 50%, 60% discount. But it is still the right question to ask what are we doing. And I've said it in the past, but I continue to say it. At its most glib level, and I don't mean it to be glib, for the share price to go up, you need to have more buyers than sellers. To achieve more buyers than sellers, you need to have people being enthusiastic about the future growth in the NAV of the business. And we still believe and will continue to believe that that's the single most important objective of the manager, is to provide performance on an ongoing basis and hopefully compounding those positive returns. So that is, as I said, the single greatest objective to drive value through that performance. The second thing we do every year and every -- is we're trying to focus not just on the performance but also what is it that drives that performance, i.e., what is the engine, if you will, that we have to drive performance. And the engine, we consider to be our ability to generate future performance through idea generation, idea sourcing, underwriting those ideas, investing, risk managing those ideas. And that is what we consider to be the engine. So if you will, it's the performance. Obviously it's the measurement but trying to hone in that ability to increase the ability to generate future performance. Once we're doing that, I think it's incumbent upon us to explain why we do what we do, how we do what we do, what we do, make sure there's a wider audience as possible, educate the market ourselves but hopefully leverage our brokers, JPMorgan and Jefferies and indeed others. It's about the quality of the reporting, these calls, the annual, the monthlies, the website, et cetera. And of course, relevant is dividends and buybacks, which I tackled a moment ago. So moving on, we have a question on -- and a question was alluded to in there about BGO and thought it was worth just sort of mentioning where we are on timing of the put/call and how it works. And I'm going to pass over to Paul for that one.
Paul Ronald Gannon: Yes, thank you, Paddy. So when Sun Life acquired a majority stake in GreenOak in 2019, Tetragon through TFG Asset Management retained a stake of just under 13% in the business. Sun Life have a -- as part of that transaction, Sun Life have a call agreement, which is exercisable in 2026, with the key inputs being the BGO EBITDA in 2024 and 2025. Now should that call be exercised, which we currently expected it will, but it's -- but actually obviously not 100% certain, then we expect this to take place in the first half of 2026. Should, for whatever reason, Sun Life not exercise that call and Tetragon owns a put, which is largely identical to the call, except it references the 2025 and 2026 EBITDA as its key inputs, and that will be exercisable in 2027.
Patrick Giles Gauntlet Dear: Thanks very much. There's a question here on the CLO part of the portfolio. What were the main drivers of the $23.8 million loss on the bank loan portfolio. And I would -- firstly, I would say that, that is split between LCM, CLO and Tetragon Credit Partner funds. And you can see the actual split on Figure 10 in the semiannual, $16.7 million of losses at LCM and approximately $7 million across the TCP funds. And the answer there is both realized and unrealized losses in the underlying credit of those CLOs in the first half. There is one question here on Hawke's Point, which is how is Hawke's Point progressing. Do they still have an investment in Capricorn Resources. So if I answer that in reverse, Capricorn Resources, we exited in 2022. So no, we don't still have -- or they don't still have an investment in Capricorn. As to how is it progressing, I think the best indication or the best way to monitor that, again, is that Figure 10 that I just referred in the last question. That shows the NAV and the performance for Hawke's Point funds. So if you -- you can see there that, in the last 6 months, it made $62 million of profit, which Steve talked a little bit about, and total NAV invested is $216 million. But if you were to go back over the quarterlies and the annuals and the semiannuals, you can track that. And the answer is very healthy performance over the last several years. One question here just on life sciences. As I gather, you are investing more in life sciences. Can you tell us a little bit more about it? And the answer is yes. It's very early days, so we don't break it out in Figure 10 as a separate investment area, but we have a small team, Boston-based. Currently, we have $31 million invested across 16 positions, had a P&L in the first half of positive $2 million, so a good start. And when we get it to being a larger portion of the NAV, we'll break it out separately in that Figure 10. And I think that takes us to the end of questions, so I am going to leave it there. But thank you very much for joining, and I hope you all have a good summer. Thank you.
Operator: Thank you. And this now concludes our presentation. Thank you all for attending. You may now disconnect.